Andrzej Matyczynski: Thank you for joining Reading International's Earnings Call to discuss our 2024 Second Quarter Results. My name is Andrzej Matyczynski, and I am Reading's Executive Vice President of Global Operations. With me as usual are Ellen Cotter, our President and Chief Executive Officer, and Gilbert Avanes, our Executive Vice President, Chief Financial Officer, and Treasurer. Before we begin the substance of the call, I will run through the usual caveats. In accordance with the safe harbor provision of the Private Securities Litigation Reform Act of 1995, certain matters that will be addressed in this earnings call may constitute forward-looking statements. Such statements are subject to risks, uncertainties, and other factors that may cause our actual performance to be materially different from the performance indicated or implied by such statements. Such risk factors are clearly set out in our SEC filings. We undertake no obligation to publicly update or revise any forward-looking statements. In addition, we will discuss non-GAAP financial measures on this call. Reconciliations and definitions of non-GAAP financial measures, which are segment operating income, EBITDA and adjusted EBITDA are included in our recently issued 2024 second quarter earnings release on the Company's website. We have adjusted where applicable the EBITDA items we believe to be external to our business and not reflective of our costs of doing business or results of operations. Such costs could include legal expenses relating to extraordinary litigation and any other items that we consider to be non-recurring in accordance with the two-year SEC requirement for determining when an item is non-recurring, infrequent, or unusual in nature. We believe that adjusted EBITDA is an important supplemental measure of our performance. In today's call, we also use an industry accepted financial measure called theatre level cash flow TLCF, which is Theatre Level Revenue Less Direct Theatre Level Expenses. Average ticket price, ATP, which is calculated by dividing cinema box office revenue by the number of cinema admissions, is also used as an accepted industry acronym. We'll also use a measure referred to as Food and Beverage Spend Per Patron, F&B SPP, which is a key performance indicator for our cinemas. The F&B SPP is calculated by dividing a cinema's revenues generated by food and beverage sales by the number of admissions at that cinema. Please note that our comments are necessarily summary in nature, and anything we say is qualified by the more detailed disclosure set forth in our Form 10-Q and other filings with the U.S. Securities and Exchange Commission. So, with that behind us, I'll turn it over to Ellen who will review our 2024 second quarter results and discuss our business strategy going forward, followed by Gilbert who will provide a more detailed financial review. Ellen?
Ellen Cotter: Thank you, Andrzej. Welcome everyone to the call today, and thanks for listening in. During the first six months of 2024, our company continued to be negatively impacted by the 2023 Hollywood Strikes. For those of you knew to Reading, about 90% of our total revenue is generated by our global cinema division. So, like the rest of the cinema industry, the prolonged strikes have had an adverse effect on our key financial metrics. Each of our cinema divisions in Australia, New Zealand and the United States felt the blow of release date shifts and a film slate that included not only fewer titles, but a number of underperforming titles. Though during this challenging six-month period, the industry did enjoy some very strong picture-by-picture engagements like Godzilla x Kong, Kingdom of the Planet of the Apes and Bad Boys: Ride or Die. Overall, the film release schedule was weak and did not return either in quality or quantity to pre-pandemic levels during the first half of '24. However, in the last few months, starting in June, the industry's recovery seemed again to resume with the release of films like Inside Out 2, released in June, Twisters, Despicable Me 4 and Deadpool & Wolverine, all released in July, and It Ends with Us, released in August. The top five films released in the first five months of this year had an aggregate U.S. industry gross box office of $778 million, whereas the top five films released in June, July, and the first two weeks of August have already grossed $1.65 billion. We believe that the first major hurdle to recovery has been met. In our view, audiences appear to have overcome the reticence to attending outside the home and venue-based entertainment, and when they visit us, their food and beverage purchases have been strong. For instance, our Q2 2019 F&B SPP of $5.68 in the U.S. has increased 43% to $8.12 for Q2 2024. And in Australia, our Q2 2019 F&B SPP of $4.91 has increased 56% to $7.67 for the second quarter of 2024. The second major hurdle to recovery, good movies with great marketing campaigns, is being surmounted as evidence spired June, July, and the first few weeks of August. Also, the pipeline remains strong as a variety of distributors are once again focusing on the exhibition market as key to the success of any major motion picture. Our $46.8 million in total revenue decreased about 28% over the second quarter of 2023 and represented 62% of 2019 second quarter. At $42.9 million, our global cinema revenue decreased 30% compared to Q2 2023 and was 59% of 2019 second quarter. At $3.9 million, our Q2 2024 global real estate revenue decreased slightly by 3% versus Q2 2023 but increased by 4% over the second quarter in 2019. The slight drop in our real estate revenue was due to the loss of our rental streams as a result of the sale of the Culver City office building in February 24 and the Q3 2023 sale of our Maitland property in New South Wales and by the Orpheum Theatre in New York City being dark in May and June of this year. These results were also negatively impacted by the further decreases in the value of the Australian and New Zealand dollars compared to the U.S. dollar. This FX reduction impacts us as historically approximately 50% of our total revenue is generated in Australia and New Zealand. While our second quarter 2024 top line metrics disappointed due primarily to the 2023 Hollywood strikes, we remain optimistic about the third and fourth quarters, which I'll touch on shortly. While our operating teams managed our expenses in light of the attendance drops, we unfortunately continued to experience operating losses. At a loss of $324,000, our Q2 2024 segment operating loss unfavorably compared to the operating income of $5.8 million in the second quarter of 2023. At a negative $1.3 million our Q2, 2024 global cinema operating loss again compared unfavorably to an operating income of $4.5 million in the same quarter of ‘23. Our global real estate operating income of $946,000 decreased 26% compared to the second quarter of 2023. Our second quarter 2024 adjusted EBITDA was a negative $200,000, which decreased from our second quarter of 2023 when we had an adjusted EBITDA of $6.7 million. Reflecting the historic rise in interest rates across the globe and our draw down of $20 million bridge financing from National Australia Bank in April of ‘24. Our Q2, 2024 interest expense was $5.3 million an 8% increase from the second quarter of ‘23, even though our aggregate outstanding debt was flat at June 30, ‘24 compared to December 31, 2023. This macroeconomic condition drove us to a higher second quarter 2024 net loss of negative $9.3 million. An interest rate reduction of just a 100 basis points would save us about $200 million per annum on a global basis now. Understanding the pressing need to bolster our liquidity and capital resources and fortify our balance sheet, we've continued to evaluate our asset portfolio to identify any assets where monetization will be beneficial. In the second quarter of this year, we began efforts to monetize our Cannon Park assets in Townsville in Queensland, Australia. In June of 24, we engaged JLL as the exclusive sales agent to explore the sale of our five contiguous real estate parcels in Wellington, New Zealand. In May of ‘24, we engaged Colliers as the exclusive sales agent to sell our land and cinema improvements in Rotorua, New Zealand. These assets now join our industrial property in Williamsport, Pennsylvania is being officially held for sale as of June 30, 2024. One of our key 2024 priorities is to continue reducing our debt expense. Understanding our debt condition, we continue to make progress on reducing institutional debt, and when that hasn't been possible, extending our maturity dates. Gilbert will touch on that in a few more minutes. We're so fortunate to have strong real estate assets on which to fall back. As opposed to diluting our stockholders, these assets should provide us a bridge to ‘25 ‘26 when the blockbuster movie slate looks so much more promising. And on that positive note, let's look a little more closely at our global cinema business, which historically has provided the foundational cash flow to support our asset growth. As I just mentioned, while the quarter was down overall, audiences came out overwhelmingly for certain movies demonstrating the continuing allure of the cinema when the movie delivers both a great story and a compelling marketing campaign. First, Kingdom of the Planet of the Apes opened strongly in May of '24, with just under $400 million in global box office today. It's generated over $2.5 billion for the franchise. Then, Bad Boys: Ride or Die opened in early June '24, and now has over $400 million in worldwide grosses, leading that franchise to $1.2 billion at the box office. Inside Out 2 also opened in June and has now set the record as the highest-grossing animated film ever, with a global gross of over $1.5 billion. This June momentum continued into the third quarter of '24. July showcased major films such as Despicable Me 4 and Deadpool & Wolverine. Despicable Me 4 launched the franchise to over $5 billion in worldwide grosses and individually generated over $809 million. Deadpool & Wolverine, with over $1 billion in global box office, is now the highest-grossing R-rated movie in cinema history and the second highest-grossing film in 2024. And August has started really strong. It Ends with Us, a female-driven picture based on Colleen Hoover's best-selling novel, had a sensational opening and in one week has generated a global box office of close to $100 million. Alien: Romulus is just opening this weekend. The film is tracking really well with critics and audiences on Rotten Tomatoes and is another film expected to well exceed opening box office expectations. The quality of the movie slate for the remainder of ‘24 looks promising, which gives us confidence that we can build on the recent positive box office momentum. Beetlejuice Beetlejuice, the long-awaited remake of the cult classic, is expected to again overperform and bring audiences tons of nostalgia and excitement in September. Joker: Folie à Deux, the October sequel to the groundbreaking 2019 film, has audiences eager to see what comes next in the series. Moana 2, Disney is clearly on a billion-dollar roll in 2024 and has high hopes for Moana 2 being released at the end of November. Let's hope it delivers another billion-dollar release for Disney at the global box office. Gladiator II, the eagerly awaited sequel to the Oscar-winning film, is poised for much box office success in November. And also in November, Wicked: Part 1, the cherished musical adaptation, is expected to attract large audiences with its unique blend of drama and fantasy. The variety and quality of the upcoming film slate, along with the showcased enthusiasm of moviegoers, keeps us hopeful about the industry's future. However, despite some films having tremendous box office potential, it's widely anticipated that the overall industry box office in 2024 will fall short of 2023, a year already in recovery but ultimately hampered by strike-induced movie release delays. These production delays and the rescheduling of theatrical release dates have led to the postponement of several major titles to 2025. But with that said, we believe that the 2025 outlook again looks very promising. Today, there are almost 50% more wide titles from Disney alone, as opposed to Searchlight and Fox on the release schedule compared to 2024. In 2025, in addition to those Disney titles, audiences will get James Cameron's highly anticipated Avatar 3, Tom Cruise and Mission Impossible 8, a new Jurassic World film from Universal, James Gunn's Superman from DC Studios for Warner Brothers, Dirty Dancing 2, and the Spongebob movie Search for Squarepants. During the second quarter of ‘24, despite the challenges we faced, our management teams continued to work a variety of business opportunities to improve our overall business and which should set us up nicely for better results in ‘25 and ‘26. Focusing on our F&B strategy for Q2 2024, we've established records again for our SPPs, which I'll touch on in a minute. We've had success in increasing our transaction or basket sizes in each cinema division from F&B ordering via our websites and apps. We've been developing a paid rewards program in the U.S., which we hope to launch before the end of the year. Now, let's look specifically at our U.S. cinemas. Our Q2, 2024 revenue decreased 37% to $21.5 million, and our U.S. cinema operating income decreased to an operating loss of $1.1 million. As of the June 30, 2024 quarter, our U.S. based screen count decreased by 15% compared to the same quarter in ‘23. We closed four underperforming locations, two in Hawaii, and one in California in 2023, and one in Texas in June of 2024. Each of these theaters was underperforming, so on balance we believe that the closures will improve our future profitability. Now, let me mention some notable milestones achieved, so far in 2024. Since 2023, each of our U.S. cinemas have the ability to sell at least beer and wine, and in all but three cinemas, we sell beer, wine, and liquor. Together with other operational initiatives, these efforts resulted in a U.S. cinema F&B SPP of $8.12 for the quarter. $8.12 represents the highest F&B SPP for any quarter in our history when you exclude quarters during the pandemic periods when we are not fully operational. And as of today, our free to join Angelika membership program has just under 140,000 members who account for approximately 23% of all paid attendance for Angelika Cinemas within our U.S. circuit. And as mentioned above, the team has been working on a paid rewards program that should be launched before the end of the year. And now let's turn to our cinemas in Australia and New Zealand. First, I note that these results are in U.S. dollars, and as a result, understate the actual improvement due to the weakening in the value of the Australian and New Zealand currencies. In Q2 2024, our Australian cinema revenue decreased 19% to $18.5 million versus the second quarter in 2023, and our operating income decreased to an operating loss of $87,000. In Q2, 2024, our New Zealand cinema revenue decreased 29% to $2.9 million versus the second quarter in ‘23 and the operating income decreased to an operating loss of $98,000. Notable milestones achieved during Q2 2024 in our international circuits include the following all-in functional currency. Our Australian ATP of $13.11 was the third highest second quarter ever for Australian cinemas. This comes even though we strategically and successfully added a compelling $10 ticket value option in early 24 for our guests at eight theaters. Our Q2 2024 Australian F&B spend per head of $7.67 is the highest second quarter of all time for Australian cinemas and represents a 56% increase from the second quarter in 2019. With respect to our New Zealand cinemas, our Q2 2024 F&B SPP of $6.60 was the second highest second quarter ever. In Australia, we secured two new liquor licenses in Busselton and in Milton. In the second quarter of '24, we expect to secure one further liquor license in Mandurah during '24. So today, '24 out of our 29 locations are licensed. We won't pursue licenses in the remaining locations primarily due to issues with our existing lease structures. Our Q2 2024 screen advertising revenue in Australia was the second highest second quarter ever, driven in part by the rollout of another circuit-wide click-to-pay promotional program with MasterCard. Now, let's turn to our global real estate business. With respect to our real estate operations, compared to the second quarter in '23, our second quarter '24 global real estate total revenue of $5 million dipped by 4% and total operating income decreased 26% to $946,000. Since our intercompany rents are reflected in our segment reporting, the recent decline in real estate metrics reflects the loss of rental income from the Q3 2023 sale of our Maitland property in New South Wales and the first quarter 2024 sale of our Culver City office building. Additionally, the fact that the Orpheum Theatre was dark from May and June contributed to these results. And with that, let me talk about the second quarter '24 live theatre results. During the second quarter of '24, the Orpheum hosted Eddie Izzard, who performed in a limited engagement, which ended in mid-April 24. We also signed in April a license for an open-ended run of The Big Gay Jamboree, which is being produced by the creators of Titanic and the producers of Barbie. The show debuts in mid-September 2024 and should improve the overall cash flow results for our live theatre division. Audible, the Amazon company, continued to operate at our Menina Lane Theatre and in the second quarter of 24 hosted two shows, Laura Benanti, Nobody Cares, and Alex Newell and the Gospel of the Diva. In April 2024, we renewed our license agreement with Audible through March 15, 2026 with a one-year option to extend. Turning to our international real estate operations. On a local currency basis, our second quarter 2024 Australian real estate revenue increased by $320,000 or 7% to $4.9 million. And our New Zealand real estate revenue of $584,000 decreased by $49,000. Reflecting a weaker foreign exchange rate for our Australian and New Zealand dollars with respect to the U.S. dollar, our Q2 2024 Australian real estate revenue of $3.2 million increased by $186,000 or 6% in the second quarter compared to the second quarter in 2023. And our Q2 2024 New Zealand real estate revenue of $353,000 decreased by 10% compared to the second quarter of ‘23. As of June 30,’24, we had 77 third-party tenants in our combined Australian and New Zealand real estate portfolio. Our combined third-party tenant sales for the quarter from our Australian real estate was AUD30 million Australian dollars. Our third-party occupancy rate reached 96%. And during the quarter, we signed one new lease, two lease renewals, and three assignment of leases. As mentioned earlier, the Company's key short term priority is to lower our interest expense by reducing our debt. Our board directed management to assess our real estate portfolio to identify assets that can be sold to generate liquidity to pay down debt over the next few years. This strategy will help us manage our financial obligations while we await a full recovery of the global cinema industry. Today, with respect to our international assets, we're marketing for sale our Cannon Park assets in Townsville and Queensland, our Rotorua property in New Zealand, and our five contiguous parcels in Wellington, New Zealand. The sale process with respect to each of these assets is ongoing. However, in order to preserve the confidentiality of our ongoing negotiations, we're not going to provide any updates until such time, if ever, when definitive sales documentation is executed and delivered. Turning now to our real estate assets in the U.S. To oversee the remaining leasing of our 44 Union Square property in New York City, as we reported earlier, we brought on board George Comfort and Sons. During the last few months, we've exchanged letters of intent with potential tenants with non-office uses for the top floors of the building. With respect to our lower floors of 44 Union Square, the Petco store continues to delight both pets and pet parents. We believe that it has set a new standard for experiential retail. In sum, while we experienced a weaker first six months of ‘24, we're very optimistic about the movie slate for the rest of the year with highly anticipated future releases like Joker, Foley, Du, Moana 2, The Lord of the Rings, The War of the Rehoram, Gladiator 2, and Wicked. We're also very encouraged about the movie slate for ‘25 and beyond. Our team continues to work diligently to explore ways to boost attendance, generate revenue beyond the box office, while at the same time managing expenses in the face of challenging economic times. This year, we partnered with our lenders and landlords to secure financial relief and initiated another round of asset sales. These steps will help us navigate through the remainder of ‘24 and lay a stronger foundation for the future. This will also allow us to focus on key real estate developments that promise to deliver significant long-term value for our stockholders. So, that wraps it up for me. I'm going to now turn it over to Gilbert.
Gilbert Avanes: Thank you, Ellen. Consolidated revenue for the quarter ended June 30, 2024 decreased by $18.2 million to $46.8 million when compared to the second quarter of 2023. Consolidated revenue for the six months ended June 30, 2024 decreased by $19 million to $91.9 million when compared to the same period of 2023. These decreases are attributable to lower cinema performance in all countries due to weaker film slate and negative impact from 2023 Hollywood strike, reduced rent income in U.S. and New Zealand, and the softening of our Australia and New Zealand currency against the U.S. dollar. Net loss attributable to Reading International Inc. for the quarter in the June 30, 2024 was $9.3 million compared to a loss of $2.8 million for the same period in the prior year. Basic loss per share increased by $0.30 to a loss of $0.42 compared to a loss of $0.12 for Q2 2023. These results were primarily due to weakened cinema and real-state performance along with increased interest expense. Net loss attributable to Reading International Inc. for six months in the June 30, 2024 increased by $8.7 million for a loss of $13.9 million to a loss of $22.6 million when compared to the same period in the prior year. Basic loss per share increased by $0.38 to a loss of $1.01 compared to a loss of $0.63 for the first six months of 2023. These results were primarily due to weakened cinema and real-state performance along with increased interest expense and a loss on sale of our Culver City Corporate Office building. Our total company depreciation, amortization, impairment, and G&A expense for the quarter in the June 30, 2024 decreased by 516,000 to $9.3 million when compared to the same quarter in the prior year. For the six months ended June 30, 2024, it decreased by 708,000 to $18.9 million compared to the same period in the prior year. These decreases were due to decrease in depreciation and amortization as a result of delay in CapEx spending and the softening of our Australian and New Zealand currency against the U.S. dollar. For the second quarter of 2024, income tax benefit increased by $53,000 to an income tax benefit of $156,000 compared to the equivalent prior year period. The change between '24 and '23 is primarily related to an increase in pre-tax loss in 2024 offset by an increase in reserves for the valuation allowance in 2024. Income tax benefit for the six months in the June 30, 2024 decreased by 204,000 to an income tax benefit of 379,000 compared to the equivalent prior year period. This is primarily related to an increase in reserve for valuation allowance in 2024 partially offset by an increase in pre-tax loss in 2024. For the second quarter of 2024 our adjusted EBITDA loss increased by $6.9 million from an income of $6.7 million to a loss of $0.2 million compared to Q2 of 2023. For the six months in the June 30, 2024 our adjusted EBITDA loss increased by $8 million to a loss of $4.2 million compared to the same prior year period. These results were primarily the result of weakened cinema and real estate performance as mentioned previously. Shifting to cash flow for the six months in the June 30, 2024, net cash used in operating activity increased to $13.2 million compared to the cash used in the same period of the prior year of $8.8. This was primarily driven by an increase in net loss and offset by an increase in operating liability from accounts payable. Cash provided in investing activities during the six months ended June 30, 2024 was $7.4 million compared to the cash used in the same period prior year of $3.4 million. This was primarily due to $9.7 million proceeds from the sale of the Culver City office building in February of 2024. Cash provided in financing activities for the six months ended June 30, 2024 increased by $1.8 million to $1.1 million compared to the cash used in the same period of the prior year. This was primarily due to the new bridge loan of $13 million from NAB on April 10, 2024, partially offset by a payoff of the citizens loan of $8.4 million following the sale of Culver City office building and an additional $275,000 debt repayment that was required when our Bank of America credit facility was amended on March 27, 2024. Turning now to our financial position. Total asset in June 30, 2024 were $494.9 million compared to $533.1 million on December 31, 2023. This decrease was driven by a $3.7 million decrease in cash and cash equivalent from which we founded our ongoing business operation, a $10 million decrease in operating properties from sale of our Culver City office, a $13 million decrease in operating lease right of use asset, and an $8 million increase of depreciation. As of June 30, 2024, our total outstanding gross borrowings were $210.4 million compared to $210.3 million on December 31, 2023. Our cash and cash equivalent as of June 30, 2024 were $9.2 million which includes approximately $3.8 million in the U.S., $5.2 million in Australia and $210,000 in New Zealand. In addition, to address the liquidity pressure on our businesses, we are working with our lenders to amend certain debt facilities and we have selected certain real estate asset in our portfolio for potential monetization. As Ellen mentioned, during the first quarter of 2024, we completed the monetization of our Culver City, LA office building for $10 million and fully discharged the related mortgage. Through the second quarter of 2024, we have worked with our banking partners on the following financial arrangements. On March 27, 2024, we further extended our Bank of America loan maturing date to August 18, 2025, together with the modification of certain financial covenants. On April 4, 2024, with respect to our loan from NAB, we extended the maturity date to July 31, 2026 and negotiated a bridge facility AUD20 million due on March 31, 2025. This is required to be prepaid upon the sale of certain assets. On April 23, 2024, we closed the one-year extension option with Emerald Creek Capital on our 44 Union Square loan to extend the maturity date to May 6, 2025. We have one remaining one year extension option. On June 28, 2024, we entered into an interest rate collar hedge agreement with NAB Bank for AUD50 million, where the cap rate is 4.78% and a flow rate of 4.18%. The termination date on the agreement is July 31, 2026. With that, I will now turn it over to Andrzej.
A - Andrzej Matyczynski: Thanks, Gilbert. First, I'd like to thank, as usual, our stockholders for forwarding questions to our investor relations e-mail. As usual, in addition to addressing your questions in the prepared remarks from Ellen and Gilbert, we've selected a few additional questions to offer additional insights from management. The first question is regarding our CapEx. The CapEx was down quite a bit this quarter. What can we expect going forward in 2024 and beyond? Ellen?
Ellen Cotter: Anticipating the drop in revenue due to the 2023 Hollywood strikes and the hit to income from increased interest rates, we continue to significantly curtail our growth CapEx spending in 2024 to take into account these serious industry headwinds. Certain theaters that we have, especially in the U.S., need upgrades. They need conversion to recliner seats and the addition of premium screens. Over the last quarter, we've been working with certain landlords to strategize how to include recliners and premium screens in light of our liquidity circumstances. Fortunately, some of our landlords recognize that a brighter future for the cinema industry is on the horizon. We don't anticipate spending significant CapEx in 2025. However, with the support of some of our landlords, we anticipate getting between two and three theaters upgraded over the next 14 to 16 months. In addition, we've got one Reading Cinema in Queensland, Australia, that's in the pipeline. And with respect to our real estate assets, we expect to increase our CapEx to take into account a potentially new tenant for the upper floors of 44 Union Square. And those required funds will come from either our existing financing or a replacement mortgage loan. So, into 2025, we expect that certain assets will be improved, but we'll remain disciplined in how those improvements will be funded.
Andrzej Matyczynski: Thanks, Ellen. We also received a question about the status of our Santander, Minetta & Orpheum Theatres secured term loan, Gilbert?
Gilbert Avanes: Our Santander loan matured on June 1, 2024. We're in the process of finalizing a one-year extension with Santander.
Andrzej Matyczynski: Great. Thanks, Gilbert. The next question regarding U.S. admission revenue, which declined more than the market in the second quarter. What caused this and should we expect the U.S. market share to recover in 2024 and beyond, Ellen?
Ellen Cotter: Yes, our box office in the U.S. did decline to a greater degree compared to the market. And we attribute this unfavorable performance to a few things. First, our screen count reduced by 15% due to the closure of four movie theaters I mentioned earlier. While our overall income will be enhanced due to the elimination of these theaters, we did eliminate the box office or admission revenues on the top line. Secondly, our theaters in Hawaii, which in 2023 represented just over 35% of our US circuit's overall box office didn't perform as well as the industry. We think that the inflationary pressures around the globe are more pronounced on the island of Oahu compared to some of our other markets. Also, the Angelika New York, which is a strong theater for us, had a weaker quarter compared to the second quarter in 2023 when we had phenomenal box office success from Asteroid City and Past Lives. But let me just make one note on an overall basis, our U.S. circuit, which is comparatively much smaller than the U.S. divisions of our publicly traded competitors did on a box office basis for the first six months of ‘24, it generated box office dollars per screen higher than the U.S. divisions of our publicly traded competitors. So, while we're much smaller and we have a mix of commercial and specialty theaters, the strength of some of our screens has us outperforming on a box office per screen basis. And with respect to the future, we expect that some of our planned initiatives like the paid rewards program that I mentioned earlier and future CapEx upgrades should elevate our comparable box office performance on a circuit wide basis in the U.S.
Andrzej Matyczynski: Thanks, Ellen. And that brings us to our last question, which, I will field, regarding a shareholder asking, why would we not reauthorize a buyback program even if it's not going to happen today? Well, under our previous stock repurchase program which expired on March 10th this year, we bought back almost 1.8 million shares of Class A stock based on the headwinds that we have faced over the last few years that you've heard about from Ellen and Gilbert today, and not least of which were the COVID pandemic, the Hollywood strikes, the interest rate hikes, our cash and debt positions prevented us from using a buyback program. Over the last four years, sustaining the business and reducing our debt has been the priority. That is not to say that capital allocation and returning capital to our stockholders is not a regular discussion with our Board. Since March 2020 when the pandemic began and whilst navigating all the challenges faced by our two industries, Cinema and Real Estate, our management team and Board have ensured that our existing stockholders have been protected by not conducting any new equity raises. With all that said, we expect to be in a much stronger position in 2025 and beyond, and we'll continue those regular capital allocation discussions with our board.
Andrzej Matyczynski: This marks the conclusion of the Q&A and also of the call. As usual, we appreciate the time you have allocated to listening to the call today. Thank you for your attention, and we wish everyone good health and safety.